Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Zynga's Fourth Quarter and Full Year 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference to your speaker today, Rebecca Lau, Vice President of Investor Relations and Corporate Finance. Please go ahead, ma’am.
Rebecca Lau: Thank you, Josh. And welcome to Zynga's fourth quarter and full year 2020 earnings call. On the call with me today are Frank Gibeau, our Chief Executive Officer; and Ger Griffin, our Chief Financial Officer. Shortly, we will open up the call for live questions. Before we cover the Safe Harbor, please note that in an effort to keep our team members healthy, each member on today's call is dialed in remotely. We appreciate your understanding during the call and hope that everyone is staying safe during this time. During the course of today's call, we will make forward-looking statements related to our business plan and strategy as well as expectations for our future performance. Actual results may differ materially from the results predicted. Please review the risk factors in our most recently filed Form 10-Q as well as elsewhere in our SEC filings for further clarification. In addition, we will also discuss non-GAAP financial measures. Our earnings letter, earnings slides and when filed our 10-K will include reconciliations of our GAAP and non-GAAP financial measures. Please be sure to look at these reconciliations as the non-GAAP measures are not intended to be a substitute for or superior to our GAAP results. This conference call is being webcasted and will be available for audio replay on our Investor Relations website in a few hours. Now I'll turn the call over to Frank for his opening remarks.
Frank Gibeau: Thank you, Rebecca. Good afternoon, everyone, and thank you for joining our Q4 earnings call. 2020 was an unprecedented year of uncertainty, loss and change. It was also the year when more people than ever before turned to games for entertainment, social connection and a sense of community. I could not be more proud of how Zynga has responded to the challenges of the global pandemic, with focused execution, strong teamwork and delivering high quality live services to our players. Our team seamlessly transitioned to work from home in early March, and continued to deliver on our mission to connect the world through games, while achieving one of the strongest performances in Zynga history. Our execution in Q4 and throughout 2020 has added meaningful scale to our lives services platform, expanded our global footprint and strengthened our position as one of the leading mobile game publishers in the world. Q4 capped off a truly transformational year for Zynga. In the quarter, we achieved our highest revenue of $616 million, up 52% year-over-year, and record bookings of $699 million, up 61% year-over-year. Our results were well ahead of guidance across all key financial measures, led by an all-time best revenue and bookings quarter for Words with Friends.
Ger Griffin: Thank you, Frank. Q4 capped off a transformational year for Zynga, as we delivered our highest quarterly and annual revenue bookings and operating cash flow in Zynga history. Our Q4 results were well ahead of our guidance across all key financial measures, driven by strength in our live services coupled with strong advertising results. Revenue was $616 million, up $52 million year-over-year, comprise the bookings of $699 million, up 61% year-over-year, offset by a net increase in deferred revenue of $83 million up to 187% year-over-year. Revenue was $46 million ahead of our guidance, driven by a $29 million better than expected bookings performance and an increase in deferred revenue of $17 million lower than expected. Live services drove our record results. With stronger than anticipated performances from Rollic’s hyper-casual portfolio, Empires & Puzzles, Words With Friends and Harry Potter: Puzzles & Spells driving our top line beat versus guidance. We generated our highest ever user pay revenue of $499 million up 54% year-over-year, and user pay bookings of $582 million up 64% year-over-year. We delivered record advertising revenue on bookings of $117 million, up 47% year-over-year. Our stellar advertising performance was driven by strong advertising seasonality and yields, as well as an excellent performance from Rollic’s hyper-casual portfolio in its first quarter at Zynga. The primary drivers of our net increase in deferred revenue were bookings from Toon Blast, Toy Blast and Harry Potter: Puzzles & Spells. We ended the year with a deferred revenue balance of $748 million versus $434 million a year ago. Turning to our Q4 operating expenses. GAAP operating expenses were $393 million, up $135 million or 52% year-over-year. While non-GAAP operating expenses were $331 million, up $124 million or 60% year-over-year. The primary driver of the year-over-year increase in GAAP and non-GAAP operating expenses is a step up driven by incremental expenses from our recent acquisitions of Peak & Rollick.
Operator: Thank you.  Our first question comes from Colin Sebastian with Baird. You may proceed with your question.
Colin Sebastian: Thanks, and good afternoon, everyone. Two questions for me, please. First off on Harry Potter, you talked about the strong start to the game that it will be a meaningful contributor to growth in 2021. If you could perhaps expand a bit on the live services and what's driving both usage and monetization in a way that gives you confidence in that outlook? And then secondly, on the investments in advertising, tech and solutions. Are those internally developed initiatives? Or do you need to acquire some of that infrastructure? And in the meantime, Ger, how much of an impact from the pending apple changes are you embedding in Q1 and full year outlook? Thanks.
Frank Gibeau: Hey, Colin, this is Frank. I'll take the first two questions. And I think the third point about the add impact Ger can finish up with. In terms of Harry Potter, what we're seeing is inside the game service is very strong engagement and retention metrics, and very good conversion and monetization. We have several features in the product that have really, really excited players and driven very high levels of interaction and competition. And we have a very strong calendar of bold beats planned for the rest of the year. So, based on the KPIs, the trends that we're seeing, the way that the cohorts are acquiring and retaining, we feel very good about the start and the sustainability of that start for Harry Potter. We're not yet calling it a forever franchise, but it's certainly on trend in that direction. In terms of the second question about how we're going to build out our advertising network. Right now, we obviously have a very robust set of inventory inside of our games and an optimization layer for engagement. But as we look to build out from there, we're going to be looking at key components of technology related to the demand side, and supply side exchange, also looking at attribution. And some of these are going to be technologies that we build internally. Some of them are going to be off the shelf, incorporation of existing technologies. But we're also looking at acquisition as a potential opportunity to accelerate in key areas, and also potentially add additional scale to this initiative that we think will be a powerful growth driver for us in '21 and beyond. Ger?
Ger Griffin: Yes, in terms of the impact from changes Apple is planning to roll out. In terms of Q1, there isn't much impact in that quarter. As it relates to the rest of the year, we're expecting modest pressure, but we do expect to grow our advertising business, with or without Rollic. So from that point of view, it's one of a number of dynamics going on in our business, both positive and negative. But we believe there's modest pressure, but it's something that we believe we can cover with all of the other levers we have at our beck and call.
Colin Sebastian: Okay. Thanks, guys.
Operator: Thank you. Our next question comes from Mario Lu with Barclays. You may proceed with your question.
Mario Lu: Great, thanks for taking the questions. I have one on cross-platform and one on subscription. So for the first one on cross-platform, you guys mentioned, you guys are investing into it. So any particular studio as Zynga, that are creating those games? And are they completely new games, or existing Zynga titles that will be made it cross-platform? And then on subscription, more and more companies are implementing pure subscription models, like Fortnite Crew, and Roblox Premium. What are your thoughts on subscription overall? And do you think Zynga titles, like Empires and Puzzles can see something like this implemented?
Ger Griffin: Frank, it looks like you're on mute.
Frank Gibeau: Hi, Mario. This is the question on cross-platform. NaturalMotion is our lead studio for that effort. They are driving a lot of the development as we undertake a number of these projects. They've published games, in Unity, Unreal, they have a very high percentage of their development community having worked on console and PC games in the past. The titles that we're contemplating here are new titles to Zynga. And we'll be starting to look at those titles rolling out more towards the end of '21 and then scaling up from there. In terms of your second question about subscription, the place that we are experimenting a great deal is with season passes. The rewards pass that you saw in Words with Friends that came out in Q4 and was a key driver of that success is the state of where we're at on subscriptions. We think that eventually subscriptions are possible in our business. But it's one of the things that we're easing into as we expand the number of season’s passes across our businesses, which was initially successful in Empires and Puzzles, we've expanded it to Gram, Words with Friends and we're looking at future opportunities in addition to that.
Mario Lu: Great. Thanks, Frank.
Operator: Thank you. Our next question comes from Drew Crum with Stifel. You may proceed with your question.
Drew Crum: Okay, thanks. Hey, guys, good afternoon. So Frank, you listed five separate studios, I think that are working on new games. So you haven't revealed what any of those are. Because that suggests these are just very early stage and hence will not be part of the 2022 plan. And then any more detail you're willing to provide on new Star Wars game? And then separately for Ger, 2022 low double digit growth rate you're forecasting, given all the investments you're making in new initiatives on top of the eight forever franchises. Is that low double digits rate are reasonable longer term notional model for the business? Thanks.
Frank Gibeau: Thanks, Drew. For the first question, we did lift the number of the studios that are working on titles. These are titles that are in various stages of development. Until we have a firm fix on when we would be able to enter soft launch, for those games we typically don't talk externally about them. But the idea really was to call out the fact that we have a multiyear new product. We're really looking at not just the releases in '21 but '22, '23 and '24, and have starts in all of these different studios against that. It's some of them are new brands. Some of them are brands that people would be familiar with. So, we feel very good about the mix. And as we get closer to releasing some of these titles to soft launch and test will be more explicit about what those titles are, and from where they're coming. In terms of Star Wars, there'll be more news on the Star Wars title, as we progress into the first part of this year, but at this time that's about what we're going to disclose.
Ger Griffin: Drew, in terms of thinking about the out years, our ambition every year is to grow our live service and layer in new games into that live service space over time, based on what Frank just said, in terms of the new game pipeline. So from an organic perspective, yes, the ambition each year would be to deliver double-digit growth for the foreseeable future. And particularly when you start layering in the potential also from your hyper-casual cross platform and an international. So the way we think about our business is, we have a variety of fairly exciting levers to lean into in terms of driving top line growth, and ultimately expand margins as well. So that's the game plan. We obviously do have the opportunity to use the balance sheet to go bring some more talent to teams to design over time.
Drew Crum: Great. Thanks, guys.
Operator: Thank you. Our next question comes from Matthew Cost with Morgan Stanley. You may proceed with your question.
Matthew Cost: Hey, guys, congrats on the quarter. Thanks for taking the question. Two, if I could. You mentioned in the letter, you expect modest growth on the remainder of the portfolio in '21, that's excluding Peak, Rollic and Potter. Obviously, '20 was such an incredibly strong year. It seems definitely four kind of that legacy portfolio, and some of those core games have been in there for a long time. How do you get comfortable thinking about the drivers of growth into '21, given the comps that they're against, and how should we think about that? And then the second one is just on the international side, a great quarter with international 57%, you guys obviously made a lot of progress there in the past year or two. What are the key challenges that you're still up against in Asia and sort of key execution points, you feel you still need to negotiate to really have it be one of your main drivers of growth going forward? Thanks.
Ger Griffin: Hey, this is Ger. I'll take the first question as it relates to growth across live services. Absolutely 2020 was a very strong year for Zynga in our live services, both from an execution on the bold beats, but obviously with the shelter in place, as well. But as we think about next year, and it was the same in Q4 and as we go into this year. Our strategy since day one has been focused on the players and the games we have in the marketplace, focus on driving meaningful bold beats into those games, and continue to innovate in those games, that's fundamental to our strategy. It effectively drove most of the growth outside of acquisitions for the first phase of our growth. And that's going to be continuing to be the same situation going into next year. So while the baseline absolutely was raised, based on some of the shelter in place dynamics, it was also raised based on our execution of bold beats. And now each of our games has its own cadence and plan bold beats. And we take each of these games, and each of these bold beats with the same focus in terms of talent and execution that we do against our new games. And so that's why we feel good about being able to obviously whole serve and deliver growth into the core live business.
Frank Gibeau: Yes. Matthew, in terms of international, I think we tend to think of it in terms of opportunities, it's really a function of getting the title, in terms of new game pipeline, really in a position where they're fully culteralized, that we have a very specific go-to-market strategy for each country. And then the good news long-term is that a lot of the territories in Asia are moving to much more of a performance marketing model. So it's a lot easier for a company like ourselves to come in and be able to acquire users and work with local partners to drive success. That's what you've seen with the success, so we had this year with the Peak titles in Japan, as well as Empires and Puzzles and the good start that Harry Potter starting to see. Longer term, I think the opportunity is we need a strategy for China. Right now, we do well in Japan and South Korea, Taiwan and Southeast Asia. Understanding how and we'll operate in China is really a function that I think long-term will be positive for us, in the short term, we're just navigating the particular dynamics that are at play there. And then further out, as India continues to double its gaming market every year, we see that as a real opportunity for us to leverage our local studio there. We have almost 600 developers in India that I think will give us a long-term edge in terms of being able to build out a business in India that will contribute to us. Thinking further afield. we do see opportunities in the Middle East, in the Americas, as well as even budding markets in Africa, where long-term this is part of the beauty of mobile is these are high performance networks. You're getting high performance, inexpensive, smart devices going out. You're seeing increased purchasing power. And we think that our brands and products long-term will succeed there. And it's a matter of really creating the right go-to market strategies and maximizing local conditions. So we're very excited about the opportunity to grow further there.
Matthew Cost: Great, thanks.
Operator: Thank you. Our next question comes from Mike Ng with Goldman Sachs. You may proceed with your question.
Mike Ng: Hi. Good afternoon. Thank you very much for the question. I just want to ask about hyper-casual, which you cited as a transformational growth opportunity. Could you just talk about what you learned about the hyper-casual category, particularly in this last quarter that merits this additional investment? Is there something strategic about the category as it relates to either user acquisition or building out the advertising network that gets you excited about it? And then as a follow-up to that, is there an update for how much Rollic is pacing in terms of annualized revenue? Thank you.
Frank Gibeau: Yes. Mike, I'll take the first question and Ger can take the second. In terms of what we like about hyper-casual, the team at Rollic is spectacular. They have an absolutely fantastic culture, great leadership and their knowledge about the categories is really phenomenal. We've learned a great deal from them and they've been leveraging a lot of the systems and technologies that we have to even grow faster. Some of the things that we've learned about hyper-casual players that we really are excited about is that, many of them are first time players to mobile. So being able to acquire players into our network through a game like High Heels or Blob Runner 3D, and then over time introducing them to other Zynga games we think is a real opportunity. Second thing is, is that these players play a lot of games and they not just play hyper-casual titles, they're also playing -- I'm talking about different segment players, they also play a lot of regular mobile games. So they're high consumers of titles. They tend to be younger than the typical target that we have at Zynga. And we like that kind of incremental growth there as well. And as you think about the user acquisition funnel, these are players that are being acquired for pennies that are not sensitive to IDFA and are able to be brought into our network. And as if you think about the arbitrage in the long-term nature of the relationship that we're going to build with them, it's a very positive thing for our company overall. So we've been looking at this category for many years and a lot of folks thought that hyper-casual was a fad early on, and I honestly think it's a new form of entertainment on the phones. They dominate the charts in terms of free to play games, they're instantly on, they're simple ideas. They're fun to play. They work off of advertising, so they're very accessible. Over time, I think they'll evolve into bigger games, maybe games like IP. They'll expand internationally more so than they have. So we like the early indications here. We like the player profiles we're seeing. We like the behaviors. It's incremental. And I think when you start to think about our expansion of our advertising network, having this at the top of the funnel and being able to bring them through is a significant advantage for us versus not having hyper-casual part of our portfolio. Ger?
Ger Griffin: Yes. In terms of, we're very happy with the pacing, how Rollic is pacing, it obviously had a very good first quarter with the company. We don't give out specific individual title or portfolio of growth rates. But how I can answer your question is, we expect the overall shape of the '21 bookings to be 85% user pay and 15% advertising. And the majority of the advertising growth you're going to see year-on-year is going to come from Rollic. We do expect to see some growth from the rest of the portfolio, but the majority is going to come from Rollic that will give you a good indicator of its growth rate for the year.
Mike Ng: Great. Thank you, Frank. Thank you, Ger.
Ger Griffin: Cheers.
Operator: Thank you. Our next question comes from Mike Hickey with Benchmark Company. You may proceed with your question.
Mike Hickey: Hey, Frank, Ger, Rebecca, congrats guys on the quarter. Great job. Two questions for me. First one within your sort of social poker slot business, curious how that’s performing and I know I'm zeroing in here, I apologize. But Michigan, as you know Michigan just legalized, online gaming went live January, February. Just curious if you're seeing sort of any impact from the R&D operators in that state on your social portfolio? And I guess same question, if you guys have considered strategic alternatives to your slots and poker business. Seems like these are really compelling assets for the R&D operators in terms of user acquisition. Second question for me, if you will, curious your thoughts on Glu Mobile. I think Frank, you know Nick and his team did really well, seems like they've built out a great culture, good portfolio of games, like casual games, same GL, cost synergies. So just curious why you wouldn't compete for that asset which make a lot of sense. Thanks, guys.
Frank Gibeau: Hey, Mike. Thanks for the questions and the comments. The first question about social casino and poker, this year in 2020, we've seen very positive performance from the games that we provide there, whether it's Game of Thrones or Hit Rich, and in fact, our poker title has been coming on strong at late. So overall, that category has been performing very strong. We're not seeing any impact from the expansion of real money gambling in Michigan, or any other state. We typically find that the players of our social slots and social casino games enjoy the way that they play. They're not really necessarily in it for the making of the money, or the real money part of it. The social nature of it, the fun game play, the engagement, and the retention is really what's driving a lot of their behavior. So, it's more traditional game behavior than what you might have seen from an online gambling site, for example. So, we think that that is an enduring thing. If you look at where categories have had significant real money gaming in Europe, for example, in other regions, the social side of it, the free to play side of it has continued to be vibrant and very successful. So, I think they can coexist, and are, in some ways, somewhat complimentary. With regard to looking at strategic alternatives, we we're very pleased with the performance of Zynga poker and social casino as part of our portfolio. We're very proud of the teams and the work that they do there. So, that's not something that we're talking about in any great detail. As it relates to Glu, congratulations to Nick and the team, they've done a fantastic job with Glue over the years. We're very happy for them in this transition to being a part of Electronic Arts, we wish them well. They've been a great competitors and a big part of the industry. So sad to see them go, but at the same time, we're going to continue to keep competing with their franchises. As far as an asset goes, we look at all kinds of assets, when we're thinking about building our business inorganically. It just so happened that the way that Zynga is configured and where we're going with our growth initiatives in advertising, hyper-casual, cross-platform play, the acquisitions that we just executed with Rollic and Peak. The make, the combination of our two companies wasn't something that really was something that we chased. It was a lot of the timing and where we were going strategically. So again, wishing Nick and the gang well at Glu.
Mike Hickey: Thanks, guys. Good luck.
Operator: Thank you. Our next question comes from David Beckel with Berenberg Capital. You may proceed with your question.
David Beckel: Hey, thanks so much for the questions. I have two pertaining to the advertising side of the business. First, Ger or Frank, whoever wants to take it. I was hoping you can expand a little bit on a comment you made about why you don't expect IDFA to have a significant impact on your business, not presuming it should necessarily, but you did mention yield optimization strategies. Would you consider these workarounds to what Apple has in mind for implementation? Or are they separate and apart sort of organic strategies that you've developed with your partners? If you get to dive into that just a little bit? And then secondly, on the ad network side, I'm curious, what portion of your total ad inventory do you envision being sold? I'll just use the term organically for lack of a better word, through your own network. And what type of savings do you envision on that portion of the inventory? Thanks.
Ger Griffin: David in terms of the strategies I was referring to, I know IDFA is getting a lot of air time both in the press and across the industry, but practically speaking, our industry always has puts and takes that we deal with. And from our vantage point, we just added this one to the puts and takes. And we're continually working with our advertising partners to optimize yields to find different offerings that we can embed within our games that are player friendly, but also gives us new opportunities to deliver advertising bookings and revenue. And so from that point of view, definitely there's been a lot more discussions with our partners and how we can operate in a post IDFA world. What I have to say, it's been for the most part business as usual in terms of us looking to optimize and grow our businesses. So from that point of view, it's not like there was a separate set of specific initiatives. What I will say is having such a strong and diverse audience base that we do have from an advertising network point of view, in terms of our games, and our player basis is absolutely helping us to be a lot more resilient than if we were a single game or we were a part of the ecosystem that's purely focused on tracking and profiling. So from that point of view, we feel good that we're obviously a diverse portfolio of games. We've got a diverse audience space, and we've got probably some of the best in class data science and analytics in this area. And so we're comfortable that we've got the strategies and the options to deal with IDFA and continue to grow the business. On the ad network side, we're not at a point where we will declare what percentage of our business will go through the network. But obviously, our ambition is to have a significant part of our business go to our own network, because obviously from our point of view, that makes a lot of sense, given the size of our own audience base and the capabilities we can build into expand our position in the ecosystem. And it obviously will help us to increase our share of economics on the full value chain.
David Beckel: Great. Thanks so much.
Operator: Thank you. Our next question comes from Matthew Thornton with Truist Securities. You may proceed with your question.
Matthew Thornton: Hey, good afternoon, Frank. Good afternoon, Ger. Most of my have been answered, but maybe just a couple of quick housekeeping questions and then one bigger picture one for Frank. Maybe Ger, just housekeeping wise, the contribution from new titles in '21, I apologize if I missed this, but are you able to maybe just quantify or maybe box in a little further what that means is that less than 5% of bookings or any color you could provide there? Similarly, the long-term operating margin target. Just curious kind of how you're thinking about that these days, whether that's 30% 35% or I don't see why there's a ceiling there but any color there? And then Frank just M&A landscape more broadly, obviously, you talked about the deal earlier this week a little bit. We've got a couple new specs come out probably more to come. I'm just curious how you're feeling just about the opportunities out there as we go into '21? Do you still see an attractive opportunity of kind of landscape out there any color there would be great? Thanks, guys.
Ger Griffin: Yes. This is Ger, I'll answer the contribution. We've put a very small percentage and it's low single digits as it relates to new games. Yes, obviously there's a potential for that to be larger depending on the timing of those games and how they scale. But as in past years, we set up our guide for the year focusing on what we can have a stronger level of prediction against i.e. our live services, and obviously layering in some of the marketing that we're targeting against these new game launches. And Matt, what was the second, I didn't catch the second parts of your two part for me.
Matthew Thornton: I know this is you are Frank, but just long-term operating margin, just how you're thinking about that target. You referred to kind of making progress towards that target. I'm just kind of curious how you're thinking about what that target is, and whether that's changed at all given the scale to that?
Ger Griffin: Yes, I think you used the operative word. It's all about scale and it's about execution. And, if you think about last year, we came off a year in 2019, where we delivered 21%. We had some really strong quarters in 2020. We started with 21% then to 26%. And we ended with a 25%. And we came close to delivering 25%, for the full fiscal, which is actually, which is the next sort of target zip code for us as to get into that 25% operating range, and then ultimately, head towards 30%. How do you do that? It is fundamentally scaling your live services, i.e. either to organic growth of the core base or continuing to bring profitable new games into that mix. And also expanding our advertising footprint, whether it be in hyper-casual or our core business, and extending into some of the new areas that Frank mentioned, whether it's cross-platform, whether it's into expanding our addressable market internationally. They are all additional levers. But as you've seen, the growth, we've taken the company from somewhere around $700 million, 2% flow through up to north of $2 billion and 25% last year. And this year, we're showing some compression, we're still looking to deliver at least 23% this year, but in the year where we're launching, we plan to launch more new games, we plan to invest incrementally into some very exciting new areas. And if we execute against that, that obviously sets us up very nicely for '22 and beyond. So that's the game plan.
Frank Gibeau: And Matt, in terms of your question about the M&A environment, it's obviously, the growth in interactive entertainment saw in 2020, has really brought a lot of attention. The expansion in the capital markets is certainly one factor. When we think about Zynga's position in that overall context, we've been a successful consolidator over the last few years. And I think it's really comes down to the position the company has in many ways. We like to look for companies that can grow faster as part of Zynga. We like to find companies that have compatible cultures that are looking for autonomy, that are interested in independence, yet being part of a company where they can really leverage the tools of our live services platform. We think that those opportunities are still out there. There's still a lot of great developers that are small, young, growing. We think that there's going to be an opportunity for us to look further afield into capabilities related to cross-platform play, in terms of advertising. And then also the hyper-casual category is a place as it expands. There's a lot of interesting companies there as well. So we believe in competition, we welcome it. When companies go public, we think it's great. These are companies that we've typically competed against. They were private, we were public. Now, everybody's public. I think it's good for investors, I think it's good for the companies in the category. I think it legitimize to a greater degree interactive entertainment. And as more of these companies come public, I think it's a dynamic that will really create more growth and innovation overall. And I think within the M&A space, you're seeing a lot of activity, but at the same time, we feel like we have a very strong organic growth strategy. And so that means we can be pretty selective about what we go after, from an inorganic standpoint, and make sure that we continue to do the right deals at the right time. We do not have fear of missing out, that is not a dynamic at our company. It's really a function of focusing on growth, execution. And if we find a great team with a great culture, we'll go for it.
Operator: Thank you. And we have time for one more question, Eric Handler with MKM Partners. You may proceed with your question.
Eric Handler: Thanks so much for fitting me in here. Two questions please. First, as you think about your key revenue drivers, at least on the mobile online game bookings line, do you see this year being driven more by the increase in players or DAUs or more by the spending per player? And I have a follow-up.
Frank Gibeau: I'll take that question. It's actually a little bit of both. We are seeing an expansion in audience, clearly, you saw that in our numbers. A lot of those are players from hyper-casual. So they tend to be lower, they monetize their advertising base and the games are shorter in nature. If you go to our games like Empires and Puzzles or Harry Potter or Words with Friends, which now has a boost economy tied to IP, we're actually seeing very good increases in conversion and an opt out. So it's just when you look at our overall mix, we have a lot of games now like hyper-casual that brings down some of the averages. But overall, we're seeing growth in our audience on hyper-casual, but at the same time in some of our traditional games, retention engagement is very strong and over the course of 2020, conversion and monetization did rise.
Eric Handler: Okay. And then now that you sort of reloaded your dry powder for M&A and you're also sort of investing in cross-platform opportunities, are we thinking maybe too myopically about just looking at companies in the mobile game space? Would you take a look at a company that's got maybe a good PC or console game and the ability to be able to take that to the mobile platform?
Frank Gibeau: I think we're an interactive entertainment company, we're mobile first and we've built our business there. But as we look ahead, what we're trying to signal to investors is that some of the biggest opportunities out there are in cross play style franchises. That's where you see a lot of billion dollar franchises. And they're driven by free to play dynamics and live services, which we think we have a competitive advantage in. So if we're able to find opportunities to partner with a development organization that might be on a different platform that we can combine with mobile, we think that that's a rich opportunity to investigate. I don't think that CS just doing a console game by itself or a PC game by itself. We're really more interested in PC console and mobile games that are cross play, that are seamless, that are synchronous and all working together in a free to play live services environment. That's where we see the big win.
Eric Handler: Great. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.